Operator: Good afternoon, everyone. My name is Karla, and I will be your conference operator today. At this time, I would like to welcome everyone to the first quarter report conference call. [Operator Instructions] I would now like to introduce you to your host, Mr. Asbjornson.
Norman H. Asbjornson: Good afternoon. Welcome to AAON's First Quarter Report for the Year 2013. Before I go any further, I'd like to read the forward-looking disclaimer. To the extent any statement presented herein deals with information that is not historical, including the outlook for the remainder of the year, such statement is necessarily forward looking and made pursuant to the Safe Harbor provisions of the Securities Litigation Reform Act of 1995. As such, it is subject to the occurrence of many events outside AAON's control could cause AAON's results to differ materially from those anticipated. Please see the risk factors contained in our most recent SEC filings, including the annual report on Form 10-K, quarterly report on Form 10-Q. And now I would like to introduce Scott Asbjornson, who is our CFO, and will take over the call for a while.
Scott M. Asbjornson: Welcome, everyone. In addition to myself and Norm, we also have attending this conference call our new Chief Accounting Officer, Rebecca Thompson. I'll start off going over the comparative results of the 3 months ended March 31, 2013 to March 31, 2012. Revenues were up 2.9% to $66.8 million from $65 million. Revenues increased due to gains in market share in the nonresidential and replacement markets and as a result of price increases introduced in 2012. Gross profit increased 13.3% to $15.3 million from $13.5 million. As a percentage of sales, gross profits were 22.9% in the quarter just ended compared to 20.8% in 2012. The improvement in gross profits can be attributed to changes in pricing with a comparatively stable cost structure. Selling, general and administrative expenses increased 16.5% to $7 million from $6 million in 2012. As a percentage of sales, SG&A was 10.4% of total sales in the quarter just ended and 9.2% in 2012. The increase in SG&A is primarily due to hiring of new employees, increased advertising expense related to a sales show, increased professional fees to our external auditors and other consultants and increases in employee compensation. Operating income increased 10.3% to $8.3 million or 12.5% of sales from $7.6 million or 11.6% of sales. Our effective tax rate decreased from 39.9% to 14.6%, largely due to an Oklahoma investment credit and changes in federal tax laws. We expect the rate for the remaining quarters of 2013 to be approximately 34.5%. Net income increased 56.3% to $7.1 million or 10.7% of sales from $4.6 million or 7% of sales. Diluted earnings per share increased by 61.1% to $0.29 per share from $0.18 per share. Diluted earnings per share were based on 24,641,000 shares versus 24,772,000 shares in the same quarter a year ago. Moving to the balance sheet. We see that we had a working capital balance of $61.4 million. Cash and investments increased $6.7 million to a total of $26 million during the quarter. The investments have maturities ranging from 2 months to 2 years. Our current asset ratio was approximately 2.8:1. Our capital expenditures were approximately $997,000. Shareholders' equity per share is $5.92. We paid no dividends in the first quarter compared with cash dividends of $5.8 million in December 2012. I'd now like to turn the call back over to Norm, who will discuss our results in further detail, along with the new products and the outlook for the remainder of the year.
Norman H. Asbjornson: Thank you. Despite a difficult environment in the big commercial and industrial building market, sales were up 2.9% for the quarter compared to the first quarter of 2012. Sales increased due to our ability to gain market share, plus a small price increase during the year of 2012. We have also been redesigning products and attacking different market segments. The market is also broken down between replacement and new construction. At the present time, we have a continuation of what has occurred in the past couple of years of the replacement market becoming dominant in our environment. It might be noted here that in the market as a whole, replacement market probably has been dominant over new construction for a few years. But in our case, we used to be more heavily into the new construction than replacement market. At the present time, we believe our replacement market share, the market percentage of our total is approximately 55%, with 45% under new construction. We had, in the past, a significant upturn in the geothermal market, which we participate in, in a little different matter than most people assume in the geothermal. The geothermal market typically is dominated by a very standardized product, typically in the 2 tons through to 5 tons in capacity size. The manner in which we attack the geothermal market is through condensing units for air handling units, larger package units set up to do variable air volume and rooftop units in all of their configurations. So geothermal market means a little different to us than it does to the rest of the geothermal market. The net result of the geothermal market, however, in total has been negatively affected by the decrease in natural gas cost, which has made natural gas more financially attractive means of heating, and not on the cooling but on the heating side. Chillers and air handlers, which we have entered into after our original beginning in strictly the rooftops, has continued to grow substantially, and we continue to grow into it, primarily in the replacement market. It, however, still is a small part of our business. A similar situation on air handling units, along with condensing units, it has grown in force and we're into the market more all the time but now we're still not in the primary market. The other system, which we have brought out of recent has been what is called the 4x4 unit, which has been designed primarily for the very high-rise buildings, multi-story buildings, all the way up to 50, 100 stories, whatever. And in that realm we've had a fairly sizable increase in our share of the market. But that particular market has not been flourishing very much in new construction, and therefore, most of what we're getting in that market has been in the replacement area. The large growth that we've been experiencing continues -- in total dollars continues to be our dominant market, which is our rooftop market. We continue to gain market share pretty much uniformly across the board on all unit sizes. However, particular attention should be paid, perhaps, to a very large market segment, which we participate in to a degree in the commercial side but which also is in the residential market. And that is the 2- to 5-ton rooftop product, which is also applied as a -- outside ground mounted unit in some installations residentially. So it's not a clean commercial market. However, it has been one which we, up until recently, did not participate very much in and we still do not participate in large percentage. But it is our fastest growing percentage of our rooftop "product line." To give you an idea of how all that goes up, we'll just talk about the 2- to 5-ton market and what it is as a percent of our market for a moment. In the market as a whole, the 2- to 5-ton product line is approximately, at this point in time, about -- 200 -- excuse me, for the year 2011, was about 213% greater than the larger units. In other words, 6-ton and up, we're -- 213% is the amount they were less than the 2 to 5. In our case, our 2 to 5 was smaller, and it only represented 21% -- 21.7% of our market in 2011. However, looking at our growth pattern in that, and I bring this up because we're very, very small part of the market. We're less than 1% of the market. But between 2011, for the numbers I just quoted you, in 2012, we made a 22.9% gain in unit sales in that market. In the year between 2012 and 2013, when the -- we got the full advantage of the new product we introduced during 2011 to go after that market more seriously. Our growth in our portion of that market was 53.7%. So while we're still down under the 1%, our percentage of growth is increasing. And as can be seen by previous numbers, that market is substantially larger in units than is the market above 5 tons. In dollars, it varies, depending upon what numbers you want to believe, but a 2- to 5-ton market in dollars approach is, if not, is 1/2 of the market share, of all rooftop sales. So starting to make a definite impact in that market with the product we introduced in 2011 is a very positive sign for the company's future. Let's talk a little bit about what's happening in various market parameters. The -- overall, in the private market segment, the private market segment has had a modest amount of the improvement. The public market share, however, has not. It has been having difficulties, as one could imagine, considering the financial health of the various governmental units. The particular ones within those, however, now the commercial has -- the commercial and retail part has probably had a fairly strong increase, primarily because of the replacement market in that area. Now the office building is also showing some signs of health. Medical and health care is definitely one of the healthier situations. Education is, like I spoke earlier, suffering from financial problems within governmental units. Manufacturing had a large upswing for a period of time earlier and has seemed to have slowed down from where it looked like it was very promising 90 days ago. Lodging, we don't very much participate in, so it's not a real meaningful thing to us. Our backlog did have a substantial upswing. At March 31, our backlog was $71,731,292 compared to $58,695,211 a year ago. So now that's a good favorable thing going into the second, third quarter. Incoming order rate has continued to be strong and the gross profit went up from 2012 at 20.8% up to 22.9% in 2013. As was mentioned earlier, our SG&A was up. I would like to emphasize 2 of the things which are definitely not going to be reoccurring. We had a national sales meeting in which we spent considerable money and had an open house for our certain select invited customers at this, and this open house was held down in Texas during the ASHRAE show in January. And we had approximately 3,000 customers show up at the event to view the product we were showing there. So it was a substantial investment, which will not be ongoing until a year from now. We'll have another one some place at that point in time. In addition to which, there were bonuses handed out to people in the company that were for the entire year, and they, of course, will not be repeated in the next 3 months -- or 3 months or 6 or 9 months. So the SG&A will fall back to the more 9% area. Net income for the year was -- or quarter was up 56.3%, primarily due to not only having a good quarter but also due to 2 things, which were mentioned earlier, relative to change in tax law, which gave us a tax benefit on income from 2012 and also plus that we're given reduction on this in the state of Oklahoma. The remainder of 2013 is at this point, to the best of our ability to see forward, looking to be stable to slightly improved in the economic situation in the commercial building industry. Now that does not mean that we're adhering to that same philosophy. We continue to believe that we will outgrow any growth which might occur during the balance of the year, and the amount we're able to outgrow stable to slightly improve the market is questionable. But we feel very comfortable with all the new products we have, with the new salespeople we put on; with these new salespeople that many, many of our salespeople have employed over the past few months; and the changes which we've made in the company; and in addition to, of course, the good backlog we have and the good profitability we have. Capital expenditures for the year, as you'd note, were under $1 million for the first quarter. Now we have projected that they would be in the $8 million to $10 million for the year. And that's still a reasonable expectation for the balance of the year. We do intend to start in doing some work on another portion of the building, a small portion in the $2 million to $3 million range. Other than that, no other major capital that we've committed to at this point in time or plan on committing to. So it is possible we won't spend the $8 million or $10 million. Now for the balance of the year, just as I said, stable to slightly improving and AAON's percent market growth should continue as it has for -- better than 20 years to be taking market share out of it. I now open it up to questions.
Operator: [Operator Instructions] Your first question comes from the line of Joe Mondillo.
Joseph Mondillo - Sidoti & Company, LLC: Norm, Scott, first I just wanted to comment on your last comment, actually. So does the -- I understand sort of your macro sort of picture of being stable to slightly improving. But just wondering how you say that with the backlog up 20% year-over-year. It seem like the backlog is pretty strong. So I'm just wondering sort of what gives you sort of the caution considering that backlog.
Norman H. Asbjornson: We're cautious, Joe. The real thing about it is I said that the industry was going to be that, but I expected to outgrow the industry. And I'm just not having a big projection about how much. Historically, the best market, the best order times of our year is right now. May is historically our best order month, followed by April and followed by June. And then, it starts deteriorating, going both directions from there on the order input. So we will be feeding off from some of that backlog as we go through the year. And looking at your forecast, that pretty much is what's forecasting that we're going to do, and I feel comfortable with the numbers that you're putting out.
Joseph Mondillo - Sidoti & Company, LLC: Looking at the month of April and early May here, could you just tell us how those months have been trending?
Norman H. Asbjornson: Up. One of the things, which Scott mentioned, was that some of our costs were the additional people we've been putting on. We've been hiring people pretty consistently since, I would say, the first part -- second week or second to third week of the first quarter. We started adding people, building up for what we expect to be a stronger second quarter and going into the third quarter. So we've been experiencing, of course, cost of training those people and everything, bringing them on board. The second quarter is shaping up very nicely. I feel very comfortable. We're thinking that is not going to make you feel like you've missed the boat any place there. So the second quarter and third quarter will be as historically, they're going to be strong quarters for us, and then trailing off in the fourth quarter.
Joseph Mondillo - Sidoti & Company, LLC: Okay. And in terms of -- you mentioned those costs, then I think you -- I might have missed in this, but I think you talked about 9% as a percent of sales. Was that for the year? Or sort of dropping to 9% in the second through fourth quarter?
Norman H. Asbjornson: It will drop into the 9% in the second through the fourth quarter, and that will bring the 10% down into the 9% something. I haven't -- well, a guess, but it will get to, year-to-date, below the 10% mark.
Joseph Mondillo - Sidoti & Company, LLC: Okay. And then in terms of -- I sort of -- I apologize but didn't sort of follow you completely when you were talking about the tonnage of units. Could you just tell us sort of in terms of a percent of sales, what did the 2- to 5-ton make up back in 2011? And what is it sort of making up as your as a total of your sales now?
Norman H. Asbjornson: Well, back in 2011, it was -- let me just run you some numbers. Again, it was 21% of our business in 2011. And this year, I haven't run the numbers. Let see, I ran percentages here, I ran that percent growth between 2011, which went up 22.9% to 2012, it went up 53.7% here. Let me see, I've got some numbers here. First quarter of this year...
Joseph Mondillo - Sidoti & Company, LLC: So maybe like 40%, does that sound right?
Norman H. Asbjornson: No, no, we're not -- we're getting up the -- these are units. That could be getting -- it could be getting up into the 30% or 40% on the units, at this point in time. But dollars, of course, is very much different because it's the 2 to 5. Dollars, just a moment here, I've got a sheet in from of me, which will give me that. So for the 2011, the small tonnage equipment was about $15.7 million, $15.7 million. And in 2012, it went up to about $16.4 million. And so far, it's just shy of $5 million for the first quarter.
Joseph Mondillo - Sidoti & Company, LLC: Okay. So it's still a pretty small percent of the total sales?
Norman H. Asbjornson: Yes. The only thing that I -- the I reason I stressed it was because it's never been a real factor in our marketing in the past. It's just been something just rolled along because it was small. And it's now starting to show signs with that percentage growth becoming a significant part of our business.
Joseph Mondillo - Sidoti & Company, LLC: Okay. And then, in terms of the backlog, could you address or do have an idea of whether that's -- whether any sort of new construction has come in there? Or is it still -- I know you said like the -- you said the first quarter was still largely driven by replacement. But in terms of that new business in that you should be shipping in May, June months, is any of that related to new construction? Or is it still primarily replacement?
Norman H. Asbjornson: It's probably still running 55% replacement. But one noticeable change that I think I'm seeing is there's been a decided lack of large jobs for the past few years, not that there weren't some out there. But as a percentage, they weren't significant compared to what they have been in the past. And I'm seeing a little bit of reoccurrence of large jobs, and we're getting our share of those large jobs. So there's a positive direction in that some people who are putting up large buildings are starting to become more active again.
Joseph Mondillo - Sidoti & Company, LLC: Okay. And then just one last question and I'll hop back in queue. The tax rate, the 34.5% that you expect second, third and fourth quarter, is that sort of the new normal? Or is there a tax credit that you're seeing across the board through the rest of this year? And we -- should we expect the rate to bounce back up in 2014?
Scott M. Asbjornson: So 34.5% is what we've calculated. It's going to be applicable for income during this year. We did that as of this most recent quarter. The question is always going to be what happens to tax laws. So we don't know for certain if there will be any changes down the road that will change that. But if there aren't, we would expect the 34.5% to be relatively stable.
Joseph Mondillo - Sidoti & Company, LLC: So just so I'm clear, the 34.5% is for second, third and fourth? Or is it just for the whole year?
Scott M. Asbjornson: Right. So second, third and fourth, so the average over the course of the year, obviously, will depend upon the earnings in the subsequent quarters of that percentage.
Joseph Mondillo - Sidoti & Company, LLC: And in terms of what we see now in terms of the tax code, you expect that to remain for the indefinite future?
Scott M. Asbjornson: Until the government makes a change, yes.
Operator: And at this time, there are no further questions. Thank you.
Norman H. Asbjornson: All right. Well, thank you everybody for participating. We've noted the well-received news we put out and what's happened with the stock market, and I thank you. We'll talk you again at the end of the second quarter report, and look forward to a better year. Bye.
Operator: This concludes this afternoon's teleconference. You now disconnect your lines.